Operator: Good morning, everyone. And welcome to United States Steel Corporation's Third Quarter 2021 earnings conference call and webcast. As a reminder, this call is being recorded. I'll now hand the call over to Kevin Lewis, Vice President of Investor Relations and Corporate FP&A. Please go right ahead.
Kevin Lewis: Thank you. Good morning and thank you for joining our third quarter call. We are looking forward to discussing our record third quarter performance and the enhancements to our capital allocation priorities announced yesterday, as well as providing an update on our strategy execution. Joining me on today's call is U.S. Steel President and CEO, Dave Burritt, Senior Vice President and CFO, Christie Breves, and Senior Vice President and Chief Strategy and Sustainability Officer, Rich Fruehauf.  This morning we posted slides to accompany today's prepared remarks. The link and slides for today's call can be found on the U.S. Steel Investor page under the Events and Presentations section. Before we start, let me remind you that some information provided during this call may include forward-looking statements that are based on certain assumptions and are subject to a number of risks and uncertainties, as described in our SEC filings. And the actual future results may vary materially. Forward-looking statements in the press release that we issued yesterday, along with our remarks today, are made as of today and we undertake no duty to update them as actual events unfold. I would now like to turn the conference call over to U.S. Steel President and CEO Dave Burritt, who will begin on slide 4.
David Burritt: Thank you, Kevin. Thank you, everyone on the line for joining us this morning. As Kevin just mentioned, we delivered record performance in the third quarter. Record net earnings, record EBITDA, record EBITDA margin, and record quality and reliability. Thank you to the U.S. Steel team for this quarter's record setting performance and for your unwavering commitment to not only our customers, but of course our steel principles, including our number 1 core value of safety. Our record-setting performance in the third quarter and throughout 2021 has truly transformed our business and demonstrates the progress we're making in pursuit of best. By year-end, we will have transformed the Balance Sheet by repaying over $3 billion of debt, achieving our deleveraging target ahead of schedule.  We expect to have total liquidity of approximately $5 billion, creating a foundation to confidently execute our strategy and invest in our competitive advantages. And we will have put the business in position to deliver another strong year in 2022. Our transformed balance sheet, the ability to pre -fund critical strategic investments, and continued optimism for our business gives us confidence to return capital to stockholders while executing the next phase of our best for all strategy. We believe the market is significantly undervaluing the progress we made and the value our strategy is creating. And now is the time to be more balanced in our capital allocation priorities. Our strategy is truly best for all. Of course, including our stockholders. Let's get into today's presentation on slide 5.  We're delivering strong performance year-to-date, continued bullish outlook for 2022 and beyond, and expectations for super-cycle continuing, put us in a position to move faster on the next phase of our strategy execution while beginning to reward stockholders with direct returns. Our biggest challenges remained lowering our capital and carbon intensity. Investments in mini mill steelmaking like the construction of the second mini mill, while investing in our competitive advantages can deliver on these objectives and reposition the Company for the future.  The solution is to continue moving toward a more balanced capital allocation strategy by successfully executing our best-for-all strategy with mini mill number 2 and an electrical steel line and coating line at Big River Steel. We are moving quickly on our path forward by expanding our competitive advantages through strategic investments, that help us achieve our strategic objectives aligned with long-term value creation, improved through cycle-earnings and cash flow, and reduced capital and carbon intensity. Whether you're looking only at next year or ability to build long-term value, we believe that investors are undervaluing our progress and potential. But not our customers, they are noticing the transformation that's taking place at U.S. Steel and the importance of a regional supply chain. Our industry-leading finishing line capabilities are increasing our value proposition and customers are excited about the opportunities we are creating together. Whether it is advanced high-strength steels, differentiated electrical steels, or green and sustainable steels, discussions with customers continue to shift from transactional to strategic.  And that's important, we continue to create longer-term value with customers by prioritizing innovation, differentiation, and strategic goals; and look forward to building deeper relationships that unlock the value of U.S. Steel for our customers, and provide them the certainty of a regional supply chain. Slide 6 further emphasizes our progress and performance. We were encouraged by our record setting performance; performance that is outpacing even those records being achieved by direct competitors. But there is more we can do. As we said, our goal is to be the best steel competitor; and while there is certainly much more opportunity ahead, we've clearly come a long way quickly. As we always say at U.S. Steel, safety first. And I'm so pleased with the U.S. Steel team for continuing to prioritize safety and for embodying our Steel principles each day. Moving to our margin performance, our enterprise EBITDA margin reflects the discipline, value-focused approach we've taken to our footprint. With revenues of nearly $6 billion in the quarter, the quality of our earnings demonstrates a business model that is increasingly built upon capability and cost differentiation. From our iron ore advantage to our integrated assets and from the newest mini mill in the country to the most efficient mill in Eastern Europe, our diversified footprint is extracting significant value from today's stronger for longer market.  While the competition isn't standing still, the actions we've taken over the past several years to invest in our assets, streamline our footprint, and add capabilities, have created significant value leading to outperformance versus peers this quarter. Our mini mill performance also continues to be the industry leader, further widening its performance versus other mini mill producers. Our position as a mini mill leader creates the perfect platform for high return investments in capabilities that expand our margins, reduces our carbon and capital intensity, and furthers our customer value proposition for sustainable green steel solutions. Those investments continue to be supported by strong liquidity and we're moving forward with investments that create enduring value while rewarding stockholders for the progress we've made so far.  Slide 7 expands on what makes U.S. Steel unique and wide best for all will continue to grow the competitive advantages of U.S. Steel. We are investing to get better, not bigger, and expanding our three competitive advantages that differentiate us versus the competitors. First, low-cost iron ore. Second, lower greenhouse gas emission mini mill steel-making. Third, best in class finishing capabilities. Those competitive advantages are built on a foundation of research and innovation, and deep customer relationships. Let's turn to Slide 8, where I will first provide an update on how we are expanding our iron ore advantage. We are pleased to report the first step in our metallic strategy, which pivots our iron ore advantage in Minnesota towards our growing fleet of EAFs.  We're finalizing an agreement with a strategic partner to produce up to 500,000 tons annually of pig iron at Gary Works. Under the contemplated deal, our potential partner would fund, install, and operate pig iron production assets, which we would supply with excess liquid iron production. This potential partnership would further enhance the cost structure of Big River Steel by in-sourcing high-value metallics, while driving blast furnace efficiencies at Gary Works. The permitting process has begun and we expect pig iron production at Gary to begin in early 2023.  This is an efficient and quick way to expand our iron ore advantage to our mini mills. And we continue to evaluate other opportunities to extract additional value from iron ore. Slide 9 provides some additional context on our mini mill number 2 investment. Last month, we commenced the site selection process to build a new state-of-the-art mini mill. This new mini mill will provide differentiated steelmaking supported by a comprehensive suite of finishing assets, including advanced high strength steel galvanizing, hot-rolled galvanizing painting, and slitting. We are expanding our mini mill steelmaking capability as we continue to transition towards sustainable, lower greenhouse gas emission steel making. This investment is a platform to provide our customers with more of the green steel they expect from like-minded partners like U.S. Steel. We're in the process of filing permits in multiple states, and are on track to begin it's construction as early as the first half of 2022. Mini mill number 2 will be built by the same experienced construction team who built Phase 2A of Big River Steel ahead of schedule, under budget, and fully ramped in record time.  As we said in our press release last month and will reiterate now, we do not expect mini mill number 2 to add to the overall production volumes of U.S. Steel. We expect the value-added capabilities of mini mill number 2 to drive an approximately $650 million of incremental EBITDA contribution from this investment once fully ramped. Also, yesterday, we announced plans to build a new coating line at Big River Steel. Slide 10 has the details. This line will have 325,000 tons of annual capability, and will sustainably produce both Galvalume and galvanized product. We expect the investment to contribute another $60 million of annual run-rate EBITDA to Big River's already industry-leading results. We expect the line to produce a mix of 75% Galvalume and 25% Hot-Dip Galvanizing. Galvalume capabilities create opportunities to target the higher-value construction market, including exposed building panels.  Hot-dip galvanizing capabilities create additional opportunities to serve the appliance, automotive, and construction markets. The investments we are making at Big River are natural extensions of the Big River campus, and further utilize the state-of-the-art capabilities of the facility as we provide customers with sustainable steels to help meet their own decarbonization objectives. As we continue to demonstrate our industry-leading position at Big River, we're excited to expand the mini mill footprint, invest in downstream capabilities, and further enhance the commercial mix of our business model. Let's turn to slide 11. The progress we have made in 2021 is undeniable. Over the past several quarters, we've transformed our balance sheet. When we closed on the Big River Steel acquisition at the start of the year, we carried $7 billion of debt and expect to end the year with $3.9 billion. We have extended the maturity profile and expect next year's run rate cash interest expense to be approximately $225 million. Our pension plan is overfunded, an enviable position that others in our industry are not close to achieving.  We are in a clear position of strength. So while we'll continue to look at the ability to deliver for other as debt becomes callable, we're very confident that this level of debt puts us in a sustainable and manageable position to support investments in our business. Next, we continue to believe the highest source of long term value-creation is from investing and expanding competitive advantages that reshape our earnings profile and reduce our capital and carbon intensity. Our cash and liquidity position more than supports these higher return projects and allows us to execute with confidence. Today, given the undeniable progress we've seen over the past several quarters, we are announcing enhancements to our capital allocation priorities that begin to directly reward stockholders with the improvements we've made to the business.  We believe the market is not rewarding us for the strong performance we expect in 2022 and is not yet recognizing the long-term value creation potential of our best for all strategy. Our strong financial performance and the significant returns we believe we can generate by buying our own stock, is the reason we are accelerating direct turns to stockholders. Reinstating a $0.05 per share quarterly dividend and moving quickly on a $300 million stock buyback demonstrates our commitment to ensuring our strategy is indeed best for all. Our goal is to ensure direct returns become an enduring part of our capital allocation strategy, and we believe there are catalysts that could drive additional buybacks in the future. Aside from additional free cash flow generation, we believe there are near-term opportunities to divest non-core assets, primarily real estate, which could further accelerate or increase further authorizations. In addition, the option for Stelco to acquire 25% of Minntac remains in place through January of 2027, and presents an opportunity to which it return up to $500 million of incremental capital stockholders. Christie will now provide details into our quarterly performance before I provide some thoughts on 2022. Christie?
Christie Breves: Thank you, Dave. I'll begin on slide 12. As Dave mentioned earlier, the third quarter was a quarter of records. We delivered adjusted EBITDA and EBITDA margin of over 2 billion and 34% respectively, this represents a nearly 750 million or 58% increase over the second quarter. Adjusted earnings per share in the quarter was $5.36 per diluted share. We also generated approximately 1.3 billion of free cash flow in the quarter, including a $400 million investment in working capital. We expect another quarter of strong free cash flow generation in the fourth quarter. Next, let me expand on some key points related to the Balance Sheet.  Year-to-date, we have repaid approximately $2.7 billion of debt and expect to end the year with 3.9 billion of debt on the Balance Sheet; an amount we're confident is sustainable and supports the investments we're making in our business. We ended the quarter with net debt to last 12 months EBITDA of 0.6 times, and expect to end the year at 0.2 times. With the balance sheet strengthened, 80% of our remaining debt due in 2029 and beyond, and a fully funded pension plan, we are well-positioned for a future of value creation.  Let me now transition into the individual segments, including expectations for the fourth quarter. Our Flat-Rolled segment delivered record EBITDA and EBITDA margin of over 1.1 billion and 32% respectively. This represents an approximately 60% improvement versus the returns second quarter. Higher selling prices flowing through our contract structure in the third quarter will likely continue to be a tailwind in the fourth quarter. We expect lower volumes from our planned blast furnace outage at Gary Works, and higher energy costs to be an offset. We currently expect fourth quarter Flat-Rolled EBITDA to be near our record third quarter performance. Our mini mill segment also delivered record EBITDA and EBITDA margin. Third quarter EBITDA was $464 million or an industry-leading 42% EBITDA margin. Higher prices continued to be reflected in the segment results partially offset by higher scrap and other metallics costs. In the fourth quarter, we expect higher prices to continue to flow through the segments, primarily monthly contracts. We currently expect the fourth quarter to be another record for our mini mill segment, potentially exceeding $500 million of EBITDA in the fourth quarter. USSK also posted record EBITDA and EBITDA margin in the third quarter. EBITDA was 418 million in the quarter, or 33% EBITDA margin. A 60 day outage planned on number 1 blast furnace will begin in November through the remainder of the year. This will remove approximately 250,000 tons of raw steel equivalent capacity from the market in the fourth-quarter. Operational headwinds as a result of the planned outage, modestly lower shipments and changes to the pricing dynamic in Europe are expected to result in reduced fourth quarter EBITDA versus the third quarter. I also want to take a moment to recognize and congratulate the USSK team for completing Slovakia's first revolving credit facility containing sustainability related performance targets. The new EUR300 million unsecured sustainable debit linked credit agreement reinforces our commitment to creating profitable solutions for sustainable steel making and replaces the previous EUR460 million credit facility. Our tubular segment reported similar quarter-over-quarter results. Improved commercial performance was largely offset by higher scrap in energy costs and continued high levels of imports. Imports continue to capture roughly half of the U.S. tubular market; and earlier this month, we and the U.S.  filed new OCTG trade cases. We expect fourth quarter performance to be similar versus the third quarter, as higher selling prices are offset by elevated scrap costs for the Fairfield EAF and continued high import levels. We expect the enterprise earnings in the fourth quarter to continue to reflect the strong market conditions we are seeing as we exit the year, and we currently believe that our fourth-quarter results will be near our record third quarter performance. Dave, I'll turn it back to you.
David Burritt: Thank you, Christie. Before we move to Q&A, let's turn to Slide 13 to provide an update on 2022 and the excellent work we're doing commercially to lock in incremental EBITDA next year on our fixed price contracts. We're entering 2022 in a great position to both create value for our stockholders and deliver value to our customers. We are executing a robust contract process with customers. In most instances, having begun discussions 90 days sooner than we have historically. Our strategy is paying dividends.  Assuming the forward curve, which we believe to be a pessimistic view of spot prices, we fully expect average selling prices to be higher in 2022 than 2021 for our Flat-Rolled segment. We've also listened to our customers and in some instances have signed agreements beyond 12 months. This creates longer uplifts and supply continuity, while fostering collaborative product development opportunities to solve their most difficult challenges. Finally, we continue discussions on commercial terms for more than just price. Leveraging continued strong interest in advanced high strength steels. Our planned NGO electrical steel line and other future sustainable steel offerings from U.S. Steel.  Customers value domestic supply chain and we value the partnership. We are delighted to hear from multiple auto customers who are foreshadowing that the throw of the chip shortage could be behind us. They are beginning to add to the fourth quarter and first quarter build schedules and indicating to us increasing usage rates starting as early as next week. Kevin, let's move to Q&A.
A - Kevin Lewis: Thank you, Dave. We ask that you each please limit yourself to 1 question to follow-up, so everyone has the opportunity to ask the question. Operator, can you please queue the line for questions?
Operator: Certainly. Thank you. . As a question has been answered, . One moment, please, for our first question. We will proceed with our first question on the line from Sathish Kasinathan with Deutsche Bank. Go right ahead.
Sathish Kasinathan: Hi, good morning everyone, and congrats on a great quarter. My first question is on the Run Rate EBITDA for the new mini mill, the 650 million. Could you please provide further color on the underlying assumptions? And the 650 million appears to be slightly higher than what some of your peers have announced, based on similar capacity. Could you please explain why this is higher? Thank you.
David Burritt: Hi, this is Dave. I'll start and then I'll pass it to Kevin on this. I just want to give an update here. We're making really good progress on the site selection. We've gotten a number of possibilities that we can make a decision on fairly quickly, and then get on with building the construction, most likely in the first half of 2022. But just in brief, specifically your question, is mini mill Big River Steel is second verse same as the first, with enhancements related to the endless caster. So if you look at our performance, the mini mill at Big River Steel, not only was it on budget on time, but they won 1,000 basis points, so better performance than the next closest mini mill. We feel really comfortable that the numbers that we suggest in here at something like $650 million of run-rate EBITDA by 2026 is a good opportunity, and certainly in line with what our expectations would be. I know, Kevin, do you have anything else to add to that?
Kevin Lewis: Yeah, Dave. Let me just add to the point around differentiation of the mini mill, talk a little bit about the attributes again, what's casting and rolling, how facility will deliver, how that translates to value for not only financially, but also for our customers. And I will touch upon some of the assumptions that drive the $650 million of run-rate EBITDA. First and foremost, as Dave mentioned, this is very much building on the success we've had with Big River Steel. There will be some continued enhancements to the technology at mini mill number two, the first being the inclusion of the unless casting enrolling facility.  This really allows us to produce differentiated gauge and width combinations, that will allow us to earn a premium the marketplace. That contributes to the incremental EBITDA, that you've seen versus other announcements in the market. Secondly, as Dave touched upon in his opening remarks, the value-added mix of the downstream finishing assets certainly helps drive EBITDA, EBITDA margins of the second mini mill contribute to the $650 million of run rate EBITDA when do you think about being able to serve advanced high strength steel automotive markets, value-added construction, and appliance markets, the underlying mix of the facility is going to be quite rich.  And as always, Sathish, we evaluate these projects on kind of a through-cycle basis. So this is more of a normalized pricing environment looking back historically called in the $600 to $615 HRC range, with more normalized metallic spreads through the cycle. So it's not necessarily driven by any pricing assumptions that are dislocated from historical through-cycle averages that the incremental EBITDA is driven entirely by the technology suite and value-added mix of downstream facilities.
Sathish Kasinathan: Okay. Thank you for the . A follow-up to that, can you talk about your metallic strategy for the new mini mill? You just mentioned that you will have a new pig caster for your current Big River mini mill. So any color on the raw material strategy for the new mini mill?
David Burritt: Thanks for that as well, Sathish. We're capitalizing on our iron ore advantage that we have in Minnesota, the low-cash cost mine sites in North America. And we know that mini mill crave pig iron, and this is just a logical and necessary next step to make sure that our mini mill is getting the pig iron it needs. We have regional supply capabilities that many others don't have. And this is a way to enhance that. Rich, anything to add?
Rich Fruehauf: Yeah. Thanks, Dave. So I think as you hit on, we did announce the pig machine opportunity at Gary, and as you said, that's the first step and an enhancement to our strategy. It's going to free up some efficiencies at Gary, and it will allow us to start really pivoting our iron ore advantages in Minnesota, where we have about 22 million tons of iron ore capacity right now, increasingly to our EAF fleet.
David Burritt: And so when you think about that, that gives us the opportunity to do some arbitrage and the scrap buy that we need, whether it's for Big River or mini mill 2, it's the same situation here. We're going to be able to use our own vertically integrated iron ore to give additional advantages to the mini mills. We've already done some of that over the past year. We've been taking home scrap, made it some of the blast furnaces and sending it down to Big River to help it. And that's really helped it, avoid having to buy more expensive prime scrap in the market. We see a lot of opportunity there. You're looking at about 500,000 tons per year coming out of this pig machine. And we will continue to evaluate other opportunities to extract value from our iron ore assets as we grow the mini mill segment.
Operator: Thank you very much. And we'll now proceed to our next question on the line, from the line Alex Hacking from Citi. Go right ahead.
Alex Hackingp: Good morning, Dave and team, and congratulations on all the success. Just following up on the pig iron announcement. I guess, why go with the third-party there and not do it yourself, is not just CapEx. And then obviously, pig iron is adding more carbon into the steel there, the EAF Steel. How are you thinking about the timing of potentially adding some lower-carbon metallics, HBI, DRI product? Thank you.
David Burritt: That a lot of background noise there, Alex. That that's a really good question and I think it really plays to what we're doing with our strategy. And I think people know that we have combined strategy and sustainable development. So Rich Fruehauf, of course he's here, working on that to make sure that we do move toward not only less capital-intensive, but also less carbon intensive. So this is a step on the way to green, 20-50 may seem like a long way away, but we have to do these pivots. We have targets for 2030 in terms of reducing carbon intensity, and then we've -- we've signed up for the net 0 for 2050. More specific to Alex question Rich, could you help out on that? Yeah. So I think first of all, Alex, you asked about why use the third-party. Well, first of all, we're trying to reduce the capital intensity of the business. So there's no upfront capital needed for us to move forward with this pig iron project at Gary, so that's one of the factors there. In terms of the carbon intensity, I think it's fair to say that as Dave kind of alluded to, when we think about it from a sustainability perspective, pig iron is more of an interim solution. Longer-term as we've said when we announced our  goal, we're going to be looking for partners. And certainly DRI would be one of the opportunities in the future, to get to a green DRI facility. But that's a little bit longer term, right? In the immediate term, we wanted to move quickly and get that pig iron down to Big River and then also feeding mini mill too.
Alex Hackingp: Okay, thanks. And I apologize if the quality of my phone line is poor. And then on the second question on the capital intensity. As you thought of a switch, almost 6 million tons of capacity from blast furnace to brand new mini mill, what does that do to your through-cycle annualized sustaining capital requirements? Thank you.
David Burritt:  our through-cycle, as we've talked about it before, pretty much stays about the same in the 450 million range, but it will ebb and flow from year-to-year. And maybe Kevin, you talk a little bit about next year what the expectations are.
Kevin Lewis: Yeah, sure Dave, happy to. So Alex, in the near term, we provided some incremental guidance in 2022 on the capital spending front, about $2.3 billion in total, primarily made up of the strategic investments that we've just discussed here this morning, mini mill number two, the non-grain oriented electrical steel line at Big River, as well as the new coating line at Big River. And these are the necessary investments we need to continue our transition to mini mill steel-making. And on -- as you well know, when you look at sustaining CapEx per ton of steel produced by mini mill, you're looking at something in the $15 to $20 a ton range.  So while that's not immediate here in our business model, that's certainly guiding where we want to take this business longer term. And as we increasingly become more of a mini mill Steel producer, we'd expect our sustaining CapEx to follow that same trajectory. That frees up capital to continue to invest in growth, and it puts the business model in a position where direct returns to stockholders can become more enduring. We are very much focused on creating incremental future free cash flow generation and we can do that, like we are this year, we can be successful across the board. So that is the plan, reduce the capital and carbon intensity of the business longer-term.
Operator: Thank you very much. We'll now perceive our next question on the line. Its from the line of Gordon Johnson with GLJ Research, go right ahead.
James Bardowski: Good morning, guys. This is James Bardowski, in for Gordon. First of all, thanks for taking my questions. Good great quarter. Nice job on the debt reduction. This first question is, can you just talk a little more about your contract prices and they're built-in lags? And in your view, why there might be upside to consensus estimates this quarter? Also, as add-on, you repaid nearly $3 billion year-to-date and expect I think you said a 0.2 times ratio debt to EBITDA at year-end, do you plan to go further with any debt reduction or is that the correct level for you? I also have a follow-up, please.
David Burritt: Okay. Well, there's a couple of questions there, maybe I'll just figure out and see if I can set the stage. Basically, the current landscape on contracts. We got great relationships with the customers and it clearly we're moving for more of a transactional approach to a strategic approach, where we're getting notifications more quickly from the customers that are our best customers, and those that are the enduring customers. And those are the customers that liked to have contracts, not just short-term contracts, but two-year contracts or so. So we're very pleased with the commercial relationships that we have.  And frankly, what we've done is we've revamped the whole commercial process making it more robust. Brought in talent from outside the Company, to look differently at steel. Neither blessed nor handicapped, I'd say, with steel industry experience. And that's been a big difference for us as well. But when you combine Big River Steel and U.S. Steel teams together, it's allowed us to elevate our product offerings. And so that makes it more possible for our customers to engage in the products that they need for their future and that alignment is really important with us. To your point and to your question, your first part of the question, is that there's no question that next year's prices will be higher.  You have to remember about when the prices were set the time before, and where the prices are being set right now, and the negotiations that are going on. I mean, people want a stable supply base. They want to make sure that they got a regional supply that they can actually count on. And that means they're willing to lock down with environment that we have now for at least 12 months into the future, specially the best customers and find a way to make sure that we can make money and they can make money and we can give them the sustainable advanced high-strength steel that they expect.  And we'll give our stockholders the profitability that they deserve. There is the lag and the fixed contracts, it's about, I'd say over 30% that's in the fixed range, and then we have some index contracts, and of course the spot business. But I would say the big differentiator for us is the customer relationships, and then moving more towards strategic relationships that we both want to have. And that's really very good plus. So to the second point related to -- what it was related to? To debt, I'll turn that to Christie.
Christie Breves: Yeah. You were asking about, do we think where we are by the end of the year is the right level of debt. It will be below $4 billion. We think that's a very sustainable level. We've been evaluating which debt made sense to take out and we think that's the 3.1 billion that we will take out by year-end. We'll continue to monitor it, but we think where we're at year-end is very sustainable.
David Burritt: You look at the maturity levels that we have right now. We really don't have significant debt until 2029. We got some convertibles in 2026 and so that limits our ability to take some of this debt out. But there's some small amounts in between that. If we get the right environment to take those out, we certainly would do that, but we think most of the deleveraging has occurred and we will be opportunistic as we move forward. It's really important to us that when we say best for all, everybody understand that's just not for our employees, that's just not for our customers, but it's for our stockholders.  And now is the right time for that capital allocation priority to change because we do believe it's stronger for longer. Not just because of the -- the customer pricing, but also because of the deleveraging has been completed, and we've identified what the major investments are. But we want to grow this businesses capabilities, maybe very clear about that. We're not growing capacity, we're growing capabilities, and we want to make sure we're differentiated. We ought to be low on the cost curve and also have that the differentiation that our customers desire.
Kevin Lewis: Does that help?
James Bardowski: Helps very much. I appreciate the clarity and then just as a quick follow-up, I don't mean to squeeze too many in there, but to make sure I understand this correctly. The expected strategic capex that you outlined, is that the consolidated level or is that going to be your share? Even though obviously you don't know what your share levels going to be at.
Kevin Lewis: That represents the total contribution of the 3 strategic projects that we are executing, and our share is 100% of those strategic projects. So we will -- we very much look forward to 2024 and beyond, when these projects begin to hit Run Rate EBITDA contribution, there's a significant opportunity to generate incremental earnings, incremental free cash flow, and further expand our through-cycle margin profile; in our mind, those are all key financial outcomes that lead to higher valuation and the business model that we're seeking. Now, those are all our strategic projects and will be the sole beneficiary of those massive investments.
Operator: Thank you very much. And now proceed to our next question on the line from Andreas Bokkenheuser from UBS. Go right ahead.
Andreas Bokkenheuser: Thank you very much. Just one question on the capacity expansion. I know you guys have been talking about what you want to do is to build better and not bigger. How should we think about that in terms of capacity at risk? You've already, obviously, shutdown Great Lakes and one of the major main furnaces at Granite City, is that how to think about it? I mean, the capacity that what's going to get shut down to base and make room for the new mills has been shutdown, or should we think about potentially more capacity being shut down to kind of make room for the new mini mill? How should we think about that? That's the first question. Thank you.
David Burritt: Well, first -- first off, we're informed by what our customers want and if our customers want the additional capacity at Great Lakes and they're willing to pay for that capacity, we're happy to opening that up and having them paid de -carbonized it. It does not look like that will happen. So that's been idled indefinitely. The same thing as at Granite City Works. But the thing that we need to remember here and you alluded to it. We are not building capacity. Capability means that you are better than others. And we want to be low on the cost curve. In many respects, lowest on the cost curve. And so we want to take share from others. And with what we're constructing, we will certainly do that.  We have the opportunity to take share from others and frankly, if we're not lower on the cost curve versus others, those business who all will be downsized as well. It's basically the survival of the fittest, right? And so, we like the competition, we like the direction of our strategy, and some people are  downstream, some people are going upstream. We're making our steel facilities the very best in an integrated model, taking the best of our integrated mills and the best of the mini mills and creating this best for all.  So we feel very confident that our capabilities will enable us to take share for those -- from those that aren't as capable, because frankly they're not spending time on their finishing mills, they’re not spending time on their steel assets. Remember a few years ago, we spent some $1.5 billion revitalizing our assets. Other companies didn't do that, so we have assets that are running incredibly well, and of course everybody knows this. When you look at safety and you see days away at 0.07, who is even close to that?  That tells you the assets are running extraordinarily well. And since the integrated mills are the largest part of that, that tells you that's where those numbers are coming from. Make no mistake about it. We're building capability, it's not capacity. We are very confident that we're going to be low on the cost curve and have the differentiation that our customers want. Low carbon footprint, less capital intensity and we will take share.
Andreas Bokkenheuser: Okay. Thank you. And maybe just a follow-up on that in terms of taking share, how are you guys thinking about the auto market in the years to come? I mean, obviously, some of EAF peers have been talking about increasing their share of the auto market, and one of your integrated peers are talking about potentially reducing share of the auto market. Where do you guys fit in that strategy? Do you want to be a bigger part of the auto market or smaller part of the auto-market?
David Burritt: That's a really interesting question because the answer is always well, it depends. When we create the relationships that we must create, it's a win-win situation. So we'd like to play in the differentiated market and we are clearly the leader in advanced high strength steel with our non-oxidized wet flash cooling. What we'd say arguably the best finishing lines in the world, not certainly largest that we share with Cobia PROTEC. So we're really excited about what that capability is. So we feel extraordinarily good about continue to the -- develop that capability.
Operator: Thank you very much. We'll now proceed to our next question on the line. It's from the line of Emily Chieng for Goldman Sachs. Go right ahead.
Emily Chieng: Good morning, Dave and Christie, and congratulations on a great quarter. My first question here is around the pig machine at Gary Works. You mentioned that was  capital -- upfront capital associated with this. But how should we think about what the licensing or processing cost associated with that on a go-forward basis could look like?
Kevin Lewis: Certainly. This is Kevin, appreciate the question. I think as we've highlighted a few times, this is a really important and a first step in expanding the metallic strategy here at U.S. Steel and continuing to leverage our iron ore advantage for our growing fleet of electric arc furnaces. I think that we will provide some incremental detail on kind of how the structure will work. One of the unique things and let me just provide a little bit of context for everybody, so you appreciate the opportunity here, is that at our Gary Works facility where we have four blast furnaces. The steel shop in many ways is our constrained asset, which means that the furnaces can outproduce the steel shop.  So when we evaluated this opportunity and why Gary makes sense is because that we can increase our iron production at Gary Works. Which in turn increases our -- the efficiency and utilization of our blast furnaces. And allows us to produce incremental melt that then can feed the pig machine that will be installed. It also makes all the other products produced at Gary more cost effective because you're starting with a lower iron costs at the facility. So strategically, the footprint, Gary made a lot of sense to extract some incremental value from their excess iron position. And it will be a really nice fit.  And as Rich and Dave alluded to, to produce about 500,000 tons annually of pig iron to serve, obviously primarily Big River here in the near term. Now will be about 50% of Big River's pig iron needs. So really, really exciting opportunity, I think as we finalize the deal with our partner, we can get some more specifics around how the structure and the pricing will work. But obviously we're investing here because this is a lower cost solution for Big River Steel, and it gives us certainly certainty within the supply chain. It generates efficiencies at Gary Works and it continues to transition of our iron ore competitive advantage to our mini mill footprint. So, it's a win-win, whether at the mines at Gary or at Big River, it's a quite comprehensive value-added strategy.
Emily Chieng: That's a really helpful call in Kevin. And so just to be clear, the new pig iron machine there does not necessarily impact the steel making capacity at Gary Works. And then just a quick follow-up, just around Big River Steel's current raw material strategy up until this new pig machine starts up, can you just remind us how your things that are -- the strategy that are involved?
Kevin Lewis: Sure. Your comment around Gary steel production. Emily, is accurate, wouldn't impact the overall steel production capability at Gary Works given that we're using incremental iron production. And then if you look at Big River 's metallics, -- metallic sourcing strategy, Rich touched upon some of the internal synergies we've been able to generate as a result of the transaction by optimizing the flow of prime scrap, and home scrap generation within our overall footprint. They're also buying their outside scrap needs and metallics needs on the open market.  And that's something that we want to continue to in-source over time. I think one of the things that's opted over -- underappreciated is that U.S. Steel really is uniquely positioned with high-quality, low-cost iron ore and highly capable electric arc furnace in mini mill production. So we have a really unique opportunity to bring those two things together and we'll continue to do that as Rich mentioned, to explore other alternatives in the future about how to continue that transition. More to come, but the goal is certainly to make Big River more, more fully integrated on a raw materials perspective.
David Burritt: Let me just punctuate that , We believe we can provide a significant portion of our metallics needs by translating our iron ore advantage in our Flat-Rolled segment to our EAF footprint. The pig iron machine that we talked about here at -- at Gary, alone can supply nearly 50% of our other ore base metallic needs at Big River Steel. So I'll say there it's easy a little bit, there's more to come.
Operator: Thank you very much. We'll proceed with our next question on the line. From the line of Tristan Gresser from Exane BNP Paribas. Go right ahead.
Tristan Gresser: Hi, thank you for taking my questions. The first one on natural gas, if you could please remind us what your exposure to natural gas in the U.S. and also in Europe. If you have  or contracts in place, and you flagged that for the outlook in Q4 for that role. But what kind of energy inflation are you seeing in Q3 and moving forward?
David Burritt: I do think your interest, and you're talking about something that's important that we manage well because there is pressure on natural gas and we do have a close watch on that end and all the materials. Frankly, we had extraordinarily talented procurement team that does hedging and has an opportunity to make sure that we get the right price at the right time and has managed that pretty well. Organization actually reports to Christie. So maybe a little more, Christie?
Christie Breves: Okay, yeah. We did see some increases in the third quarter. About $20 million was the increase in third quarter on natural gas. We are heads both in Europe and in the U.S. And for next year, it's a significant portion of the buy has already been executed. We're in good shape, I think for -- where we are on our hedges on natural gas.
Tristan Gresser: All right, thank you for the color. My second question is a bit more on the steel price outlook in the U.S. You mentioned that you see the  forward curve as pessimistic What do you see in the supply and demand dynamics that makes you more optimistic than other markets that  that probably see higher inventories, imports, and new capacity coming online in coming quarters?
David Burritt: Tristan, I think maybe there's a couple of pieces there, there's a -- the macro drivers, What we do as a super cycle here for the steel industry, I've been talking about this for over a year now I guess. And then also there's steel-specific drivers. So let me just run through a bunch of things that, from a macro perspective and then we can get into some of the more detail. So bear with me here a bit as I just kind of layout some high level things that inform the way we think about the future.  Well, first and foremost, the Fed expansion policy is going to last well into 2023, right? What are they doing them buying back a 120 billion a month. They're talking about  of like 15 billion. Maybe rates come up at the end of next year, maybe not. I mean, there's a lot of uncertainties there, but it's pretty clear that the Fed expansionary policy is going to continue for the foreseeable future. We're also seeing the fiscal policy expansions in the U.S., as well as in the other countries. There's lots of supply chain concerns and it's not uncommon. We see this all the time. When you see robust upturns, you have ports and you have troubles.  Trucks have trouble, any type of logistics. They struggle with this. And so what that means is another stronger for a longer. And then you have layer on top of that. There's all kinds of cash just sitting on the sidelines. I think I read somewhere here that the savings rate for folks in the U.S. is you add it all up, it's like $3 trillion. And it's just a lot of money just sitting on the sidelines. And that doesn't count the investments that we're sitting on the sidelines before the pandemic hit. So there's a lot of pent up, a motion for getting on with things, and once the pandemic is clearly behind us; and we've had a lot of starts and stops, it does seem like it's getting better, but it's going to be episodic for a while and that probably extends things for a while.  Then you think about the climate change things; a year ago hardly anybody was talking about climate change, right? Now, in the world's steel -- being on their executive committee and it's like the lead discussion. People really care about the environment here and we know how this works. Countries are going to pay, our customers are going to pay. We bring the capability, right? And of course you we're more specific, the home here, we're waiting for. And I think it might be December, the infrastructure bill.  The money is not going to come in 2022, it will come in 2023. And so there is another opportunity, and governments around the world, they're giving grants. Whether it be in Canada, we heard about the grants to the steel industry there,. Then you have Belgium, and Spain, and Germany, and Slovakia, and others that are really interested in decarbonizing. We see that around the world, 232, think about 232, that continues on. And I'll say this, U.S. Trade Representative Tai and Commerce Secretary Raimondo, are doing incredible job. They understand how important Steel is to U.S. They get it. And so 232, there may be some tweaks around the edges. There maybe some kind of quota system, but there's going to be 25% tax or something like that for the foreseeable future. Because you're not going to build back better with buying -- you're going to build back better with buying. You're not going to build back better with China Steel. You're not going to build back better with steel that goes into Europe, into the United States. If they get this, they understand the importance of enforcement and I think they're doing an incredible job holding the line with a lot of bad actors. And so you take that, and then you got the pent-up customer demand, that I mentioned with COVID. We haven't seen what's going to be unleashed here. The semiconductor issue? Look at where auto vehicles are, $15 million? There's going to be a big uplift on that, maybe not 2022, but 2023. People want to buy cars. We saw what happened in the used car area, right? And transitioning domestic steel industry to sustainable steel. I think everybody is on board with that. Some will do a better job than others.  But there's a lot of money coming into the world right now, that wants to go to work. This is an incredible time to be working. We went through awful times with COVID, but it's one of these things. You just don't find something you like about it, you find something you love about it and get on with moving to the future faster. And that's exactly what we're doing. Treat this thing as a blessing and we will see the money flow that we haven't seen in a very long time.  So it again  from the passion , I'm not just bullish, I am over-the-top super-cycle on this because I am a strong believer, this is stronger for longer and it's -- you always get the existential threat to the unknown geopolitical stupidity, or wherever props up, but the bottom line is this, -- the economic circumstance for macro-environment and from a steel industry environment, and then of course, with U.S. Steel, we think our strategy is positioned just right to make the progress. Did that help? I presume that was a yes.
Operator: Thank you very much. And let us conclude the Q&A for today. I will now turn the call back to U.S. Steel's CEO, Dave Burritt, for closing comments.
David Burritt: Well, thanks for your continued interest in U.S. Steel. We're executing on our strategy and it's on display across the entire business. And -- and I have to say thank you to the employees, you're laser-focused on safety and the customer, it's proving out to be a spectacular year-to-date. Our strong culture and workforce they're mostly recently recognized, believe it or not, here is that Newsweek -- one of the Newsweek most loved workplaces, and our employees certainly are pleased with that and we are too.  Our industry-leading safety performance, diverse and collaborative workplaces, and inclusive employee benefits are examples of how we create an environment where employees can thrive, it's all about relationships with your employees, with your customers, and now you can tell with our stockholders as well, with the capital allocation uplift that we're providing and will endure. We're pleased by the recognition of this from Newsweek and look forward to building on the future. And then finally here, thanks to our customers for your continued business. We're investing today to meet tomorrow's needs. We want to continue being a trusted partner in your success and know, together, we can create a better future for our businesses and for the planet. Now let's get back to work safely.
Operator: Thank you very much, and thank you everyone. Let us conclude the call for today. We thank you for your participation, and please disconnect your lines. Have a good day, everyone.